Operator: Ladies and gentlemen, good day, and welcome to the Sterlite Industries Fourth Quarter Financial Year 2013 Results Conference Call. As a reminder all participant lines will be in the listen only mode. There will be an opportunity for you to ask questions at the end of today’s presentation. (Operator Instructions) Please note that this conference is being recorded. I would now like to hand the conference over to Mr. Ashwin Bajaj. Thank you, and over to you, sir.
Ashwin Bajaj: Thanks, operator, and good morning ladies and gentlemen. This is Ashwin Bajaj, Director of Investor Relations. Thanks for joining us today for Sterlite's Q4 and full year FY ’13 conference call. We have with us several members of management. We have Mr. M.S. Mehta, our CEO; Mr. D.D. Jalan, our CFO; and Mr. S.K. Roongta, CEO of our Aluminum and Power businesses. Mr. Mehta will walk you through the results, and then we'll be happy to take your questions; so over to you, Mr. Mehta?
M.S. Mehta: Thank you, Ashwin. Good morning, ladies and gentlemen, and thank you for joining to this call. You would have seen the results, the financial year ending March ’13, was another good year of operational performance across business segments with significant volume growth and certain industry leading cost performance. We delivered strong financial results in the form of record annual EBITDA and net profit of 10,600 crores and 6000 crores respectively. This was at the back of our portfolio world class assets. We delivered strong margin across businesses, despite the volatile commodity price environment. We are very happy to share with you the company has made significant contribution with national exchequer of over 6,000 crores in form of taxes, duties and royalties. We had good excellent successes in Zinc India and CNC and have significant addition to reserve and resources. We are also happy to announce that board has proposed second interim dividend of INR1.2 per share that brings the full year dividend to INR2.30 per share. Before I move down to give the result in detail, I would like to inform you update on Sesa-Sterlite merger, as the full transition has received the approval of High Court of Bombay and Goa on 3rd April. The hearings at the High Court of Madras have been completed, and order is awaited. Let me now walk you through the business of business highlights. First Zinc India, FY ’13 was a strong year for Hindustan Zinc we delivered record EBITDA performance 6,500 crores with highest ever volume of mined metal production. Lower refinery production was partially made up by sale of 61,000 tonne zinc concentrate. Going forward, our mined metal and refinery capacity are fairly balanced. Ramp-up of the SK mine and the Dariba lead smelter has delivered strong volume growth in silver and refine mix. Going forward we expect to deliver around 360 tonnes of integrated saleable silver in FY'14. At Hindustan Zinc we have been consistently (inaudible) resources for last several years. This year too our exploration program met with good success resulting in drop addition of above 25 million tonnes of R&R in FY13 prior to depletion of 8.7 billion tonnes. Total driven resource on 31st March was 348 million tonnes containing 35 million tonnes of zinc and lead metal and about 900 million ounces of silver. And these numbers Hindustan Zinc mine life continues to remain over 25 years. Going forward, we expect to deliver about 13% increase in mine metal production to take the total volume to towards to its full capacity of 1 million tonne, deliver significantly improved volume of smelted volumes. As I already mentioned about 360 tonnes of silver on saleable basis. Back of volume of growth and opportunity improvement, we expect cost of production at Hindustan Zinc to remain stable or trend downward in preterm. Moving on to Zinc International, we delivered a stable operational performance with a total production of refined zinc and mined zinc-lead metal-in-concentrate 102,000 tonnes during the quarter. For FY13 production was in line with our annual guidance of 420,000 tonnes. EBITDA for the quarter was higher by 17% and the back of improved realization and translation gains. For FY14 we expect production at Zinc International to be in the range of 390,000 to 400,000 tonnes largely on account of tonne fall in product (inaudible). Cost is expected to be around $1,100 to $1,200 per tonne. Moving onto Copper India, copper cathode production for the quarter was 7% higher at 86,000 tonnes and moving on to Australia mined metal production at Australia was 28% higher for the quarter at 7,000 tonnes. More on the Copper India, the byproduct credit of sulfuric acid was low during the quarter and the full year resulting in increase in the net CoP, Tc/Rc removed more or less cable bandwidth complete strategy to have long term contract for copper concentrate. As we shared before, the first unit of 80 megawatt of 160 megawatt power plant at Tuticorin has stabilized and is now operating its capacity. We expect to commission the second unit 80 megawatt in the current quarter. Little bit on the Supreme Court matter, as you’re aware we challenged the Madras High Court closer order in September 2010, directed by the Supreme Court regulatory body have inspected the plant and confirmed that it meets to required standards. We also carried out some improvements as recommended by the agency as the part of best practices. Our appeal got finally appraised by Supreme Court on 2nd April additionally we were asked to deposit 100 crore which we used to further improve the environment near the plant. Separately, following the public complains valuation, Tamil Nadu Pollution Control Board ordered closure of Tuticorin’s matter on March 29th. The company has challenged the TNPCB order by proceeding an appeal before National Green Tribunal. NGT had admitted the appeal and constituted two members expert committee to carry out an inspection. Committee has submitted the reports after inspection and matter has now been referred to the principle branch NGT at New Delhi for further hearings. While we await the outcome of our appeal in NGT on business environment, Tc/Rc remains favorable for slighter this year. As we told to improve in the last quarter remains subdued at this moment. During this year, we also planned final shutdown it takes typically about 20 days, which we walked in the CMT, we had a good success CMT in exploration front and ordered 5.4 million tonnes to the R&R, prior to depletion of 2.5 million tonnes. With a total R&R of 8.9 million tonnes mine life has been extended to around 4 years now. Moving on to aluminum, both Vedanta Aluminum and as absolute and BALCO smelter continue to operate above their capacity. At BALCO smelter produce 62,000 tonnes of aluminum during the quarter in line with the last year at Jharsuguda our aluminum production was higher by 16% at 133,000 tonnes more all the Copper India, the byproduct credit of sulfuric acid was low during the quarter the full year resulting in increase in the net CoP, Tc/Rc removed more or less cable bandwidth complete strategy to have long term contract for copper concentrate. As we shared before, the first unit of 80 megawatt of 160 megawatt power plant at Tuticorin has stabilized and is now operating its capacity. We expect to commission the second unit 80 megawatt in the current quarter. Little bit on the Supreme Court matter, as you’re aware we challenged the Madras High Court closer order in September 2010, directed by the Supreme Court regulatory body have inspected the plant and confirmed that it meets to required standards. We also carried out some improvements as recommended by the agency as the part of best practices. Our appeal got finally appraised by Supreme Court on 2nd April additionally we were asked to deposit 100 crore which we used to further improve the environment near the plant. Separately, following the public complains valuation, Tamil Nadu Pollution Control Board ordered closure of Tuticorin’s matter on March 29th. The company has challenged the TNPCB order by proceeding an appeal before National Green Tribunal. NGT had admitted the appeal and constituted two members expert committee to carry out an inspection. Committee has submitted the reports after inspection and matter has now been referred to the principle branch NGT at New Delhi for further hearings. While we await the outcome of our appeal in NGT on business environment, Tc/Rc remains favorable for slighter this year. As we tried to improve in the last quarter remains subdued at this moment. During this year, we also planned final shutdown which takes typically about 20 days, which we talked in the CMT, we had a good success of CMT in exploration front and added 5.4 million tonnes to the R&R, prior to depletion of 2.5 million tonnes. With a total R&R of about 8.9 million tonnes mine life has been extended to around four years now. Moving on to aluminum, both Vedanta Aluminum and as absolute and BALCO smelter continue to operate above their capacity. At BALCO smelter produced 62,000 tonnes of aluminum during the quarter in line with the last year at Jharsuguda our aluminum production was higher by 16% at 133,000 tonnes BALCO’s EBITDA for the quarter was lower due to lower aluminum prices and higher CoP largely on account of coal tapering and some increase on count of higher enigma combustion cost. At BALCO aluminum cost is partially gets corrected once the Lanjigarh refinery is resumed backed by resumption of both the sag mill operations in BALCO. We also expect to reap in the benefits of improvement as operational efficiency at BALCO. BALCO coal mine start off will help partially revolve the impact of coal tapering. And Jharsuguda the EBITDA for the quarter was 18% higher on account of higher volume, higher better premium and better cost performance despite lower aluminum prices. Just to bring more color on the premium impact; at Jharsuguda the NSR reflects $320 per metric ton of net premium earned which is $160 higher than the previous year. This essentially reflects the demand supply gap in the physical aluminum market. Little Niyamgiri our Niyamgiri mining project of OMC on 18th April the honorable Supreme Court directed the government of Orissa to place unresolved issues and claims of the local commodities under the forest right act before the Gram Sabah. The Gram Sabah would take a considered view of the claims and communicate the same to MoEF through the state government within three months. On confusion of the proceeding before the Gram Sabah, MoEF will take a final decision for grant of final stage, forest clearance for the Niyamgiri mining project of OMC within two months. We expect to tap much better from 325 KT Korba smelter in Q2. The smelter will initially draw power from existing power capacity in BALCO, at BALCO’s 1,200 megawatt power plant is awaiting final stage regulatory approvals. On BALCO coal block, after having obtained the stage two forest clearance, the process for the aversion of forest land had been initiated by the state government and we are in the process of finding the mining lease agreement. We expect to commence the mining at this coal block in the end of Q2 this year. We continue to evaluate the startup of 1.25 million tones smelter at Jharsuguda while we are optimizing the returns by selling the power from our ACL plant. Aluminum consumption globally rising at about 6% to 7% while in India it is showing double-digit growth but price remains subdued. The opening is critical in the given circumstances. We continue to stay in the second quartile of the global cost curve and deliver industry leading double-digit margin. The management is focused on further improving the cost performance. Going forward BALCO's cost which is impacted significantly by coal tapering will get benefits of the coal production ramping up gradually. You also get benefit of the improved operational efficiency of the (inaudible) and get some benefit of economy of scale once we start the new smelter. At Jharsuguda, we expect to further improve the cost at the back of improved efficiency both in operation of the Capital power plant and the smelter. Moving on to power, the Q4 power sales were higher primarily due to higher power generation and sales from three unit of 2,400 megawatt power plant. the fourth unit was capitalized on 31st March. The commissioning of the new 1,000 megawatt Raipur-Wardha transmission line helped in the restriction and in near term we expect about 50% to 60% PLF this is all the four units with the further using of evacuation restriction. EBITDA from the power for the quarter was up by 24% on account of power volume and lower generation costs partially offset by lower realization. The generation cost at SEL was INR1.76 on account of following new option prices and high usage of linkage growth. Going forward in FY '14 as I mentioned before PLF is expected to help us reduce the fixed cost but at the same time it will call for higher ratio of new option (inaudible). On the moment, we expect to deliver significantly improved performance largely backed by PLF increase and improved operation efficiency of the plant. There will be dynamics of cost, sales cost utilization but on the whole we expect to deliver a margin of approximately a INR1 on the ballpark basis. In summary, we had a good operational year and production growth and improved cost performance across segments. We have a portfolio of world class assets which have been well invested and grown over the years. Our earlier announced CapEx program is almost complete and production growth from these assets continue to drive earnings. Our strategy of strong focus and cost control and culture of continuous improvement has helped us deliver strong performance in an uncertain environment. We entered the New Year with positive tone, and with that I've completed my prepared remarks and I'd like to take your questions now. Thank you.
Operator: Thank you very much sir. Ladies and gentlemen we will now begin the question and answer session, (Operator Instructions). The first question is from Saumil Mehta, from IDFC Securities, please go ahead.
Saumil Mehta - IDFC Securities: Thanks for the opportunity, great set of numbers, couple of questions. In the aluminum segment if I look at the metal premium, which is very different from what is there in BALCO and what is there in VAL. While I see a significant improvement in BALCO, VAL is more or less flat or on a sequential basis also declined; just wanted to understand the reasons for this.
M.S. Mehta: It is primarily because BALCO has got rolled products also in their portfolio which is not there in VAL, and there is improved performance of rolled products and premium on the rolled products is resulting in overall aluminum premium, of BALCO being better.
Saumil Mehta - IDFC Securities: But if I look on a sequential basis I think the premium has gone up by $300 in BALCO, so is this a sustainable premium or do we expect some decline going forward?
M.S. Mehta: Of course premium is a factor, what happens internationally there also there is a benchmark premium and there is some decline in premium off late as compared to the high levels which are prevailing sometime in December and January and February. But we don't expect any major decline especially when aluminum is ruling low the premium generally rule high and we expect premium to continue more or less in this range, maybe some marginal reduction as compared to the high levels which are prevailing January, December and January.
Saumil Mehta - IDFC Securities: Sir, my second question is on power realization. Sequentially even that has gone up whereas if I look at the other competitors we haven't seen that kind of improvement from their results, so is it the bilateral dates have moved up or we have changed our sales off take or rather the sales mix have changed?
M.S. Mehta: As far as realization on power is concerned, you know, generally if the last quarter's realization and exchange are low as well as the bilateral were not fully allowed, because there were evacuation restriction sometime for the month of January, clearances had to be obtained in December and new corridor came sometime in January. That is why overall realizing got impacted. And of course quarter one is generally expected good from the point of view of power tariffs especially in the field and we are trying to see to what experiences we can improve our realization. Of course, it also depends up on; you know the mix what we sell to Grids for Orissa and what we sell in open access. It was really the fixed tariff, more or less lower tariff for what we sell to Grid authorities.
Saumil Mehta - IDFC Securities: As of now, what is the total lofting to grid, the entire 600 Megawatt first unit there have to be sold to Grid and only the balance to be sell in merchant plus bilateral?
M.S. Mehta: Yes, so we have to sell our newer unit to the Grid, of course they are right now, even there for Orissa Grid there is a little restriction on the evacuation capacity as against our 514 net of auxiliary power which you can supply from one unit. You know they have capacity to take a lot, 450 to 460 megawatt. And balance three is (inaudible) for next. 
Saumil Mehta - IDFC Securities: So my last question is basically on, if I look at standalone result, the net debt has gone up by 5000 crores for the last six months, so just wanted some explanation on that. So as on first half of FY ’13 I think the net debt was about 2500 crores, which has gone up about 7500 crores as on March 2013.
M.S. Mehta : Basically you are absolutely right. In fact if you look at our total cash balance in Sterlite consolidated is INR24,800 crores, and total debt is INR19,000 crores in consolidated debt. This debt has gone up in the standalone in Sterlite as you have likely said, that is on account of some of the funds we have raised in Sterlite and given it to VAL, which you have noticed from the statement which has come in the release also.
Saumil Mehta - IDFC Securities: So, but the total in funding in VAL has not gone up to that extent over the last six months whereas debt has gone up very significantly. 
M.S. Mehta: Partly because of lending through VAL and partly because of the working capital involvement, that is correct.
Saumil Mehta - IDFC Securities: What was the total CapEx in FY ’13, if I may ask on consolidated level?
M.S. Mehta: The total CapEx, the total amount including the well what we are explained in FY'13 is INR8,000 crores and that includes about INR1,300 crores in VAL and balance in TSPL, Hindustan Zinc and other products.
Saumil Mehta - IDFC Securities: So any guidance for '14 and '15 on CapEx?
M.S. Mehta: Definitely, I think in '13 and '14, FY14, we expect the total is spent somewhere around INR6,000 crore and INR6,500 crore and that includes amount of INR1,000 crore on VAL that is contingent upon when we commence the expenditure. So around INR5,500 crore expense which is incurred and INR1,000 crore is optional we are (inaudible) about the timing.
Saumil Mehta - IDFC Securities: Okay thank you so much. That answered my question.
M.S. Mehta: And as you all know that we are at fag end of the CapEx pipeline with total CapEx is stepping down and what our cash flow is going to be there that cash flow will be lose for deduction and that some of the cash flow remain as cash for the investment.
Operator: Thank you. The next question is from Bhavin Chheda from Enam Holdings. Please go ahead.
Bhavin Chheda - Enam Holdings: Good morning, it’s excellent set of number. Two, three questions, so one is the, if you can give us the breakup of gross data 19,000 crores across different companies?
M.S. Mehta: Yes, sure. If you just try to in current body the date in three buckets one is Sterlite above INR10,000 crores then BALCO is INR4,300 crore again at PSQ about INR4,000 crore that’s broad breakdown.
Bhavin Chheda - Enam Holdings: So, Sterlite Energy would be how much?
M.S. Mehta: Sterlite Energy, the role is that balance sheet as of now hardly INR250 crore regarding it’s mostly internal funding.
Bhavin Chheda - Enam Holdings: Okay, because just wanted to clarify on Sterlite Energy is using, outside date is 250, I think there is date from Sterlite to Sterlite Energy of INR2,300 crore right and how is Talwandi Sabo funded? It’s a subsidiary of Sterile Energy?
M.S. Mehta: Talwandi Sabo, absolutely right, it is subsidiary of Sterlite Energy and overall date is to repeatedly going to remain at 70-30 and as of now the debt at TSPL is INR3,800 crore.
Bhavin Chheda - Enam Holdings: Suppose 3,800 crore.
M.S. Mehta: That’s right.
Bhavin Chheda - Enam Holdings: Okay. Second question on the coal linkage part at Sterlite Energy, Jharsuguda, if you can give us some mix of the latest quarter how much was from linkage and how much from e-auction and what’s the expectation for FY14?
M.S. Mehta: In the latest quarter, we had higher proportion of linkage coal because of lower PLF in the part of coal. So, we had linkage coal about over 60% and just about 40% as e-auction coal. But going forward as we do our PLF we have to go for higher proportion of the auction coal.
Operator: Thank you. The next question is from Ashish Kejriwal for Elara Capital. Please go ahead.
Ashish Kejriwal – Elara Capital: Sir, just to going ahead with the same question of e-auction and linkage coal, because in fourth quarter our PLF has increased as compared to third quarter and in third quarter you mentioned that linkage coal was of 35% - 40%, I was just wondering with higher PLF also our linkage coal has increased and going forward you’re saying that it will decline. So, how we…
M.S. Mehta: In one year that there was a backlog – normally fourth quarter whole India supply is higher percentage of the linkage coal, it’s about 27%, 28% of the annual linkage quantity and the fulfillment also in the fourth quarter is generally good plus we was able to get much better quality of linkage coal in the fourth quarter and consequently that helped in overall.
Ashish Kejriwal – Elara Capital: So, is it says the volume that – because in for the total four units we are having 44% PLF and assuming that has been increased to 55% for the fall of FY14 then our linkage coal will constitute a 45% to 50% or it will be much lower than that?
M.S. Mehta: We are yet to get linkage coal for the fourth unit which has been commissioned on 31st of March. So, we are in process of that and well if the PLF was up beyond 60% then surely the proportion of linkage coal will be somewhat higher INR 1 today.
Ashish Kejriwal – Elara Capital: So, what could be that sir, if suppose all of it go for 60% PLF then what could be linkage proportion in the FY14?
M.S. Mehta: I will need to work out with regard to the fourth unit linkage from then it materializes and taking that into account we simply will offline afterwards.
Ashish Kejriwal – Elara Capital: Fair enough so, and just if you can give us the quantity of coal consumed in fourth quarter that will be helpful.
M.S. Mehta : Yes, well I would like to verify the data and we will give you offline.
Ashish Kejriwal – Elara Capital: Okay it is not a problem and sir second question is about the metal premium, we have mentioned that metal premium on BALCO as well as Vedanta aluminum was higher. Like for example in BALCO invention that is $480 per ton premium is core LME. But this is because more of because of, we are converting most of our metal into value-added products. So my question is on account of this primary aluminum, what could be the premium which we are charging over and above LME taking into consideration 5% in (inaudible) so what could be that cross range on primary aluminum just?
M.S. Mehta : Primary aluminum we hereon depended upon different times but we have got premium up to $250 (inaudible) yearly.
Ashish Kejriwal – Elara Capital: $250? When we are selling in the domestic market?
M.S. Mehta : Yes. That is on the higher side assets we have got up to $250.
Ashish Kejriwal – Elara Capital: Okay so just to clarify sir this is like LME into whatever input duty and after that reasonable premium is what you are talking about is $200-$250.
M.S. Mehta : No, no, no I am talking about improving import duty. I am talking premium over LME. 
Ashish Kejriwal – Elara Capital: Premium over LME; which includes 5% imported duty also.
M.S. Mehta : Yes of course and that is what you asked for also.
Unidentified Analyst : And sir lastly about power realization, in fact in one of the question you mentioned that power realization was somewhat subdued in Jan and Feb because of a pilot was not allowed but when we are looking at the numbers in fact we are coming out with realization to be on a higher side when I am comparing with the third quarter. Just we are doing revenue divided by volumes so in fact we are looking at higher realization not the lower realization from third quarter? 
M.S. Mehta : Okay I think let me just try to chip in, the realization in quarter three was INR3.31 and in quarter four it is INR3.99. So in fact which is there as part of the release also and so quarter-on-quarter the realization has come down.
Ashish Kejriwal – Elara Capital: I am talking about the revenue means revenue including anything else besides power seals?
M.S. Mehta : Actually sometimes what happens, the denominator, there is basically trial run phase also. So you have to consider the next sales which is booking in the profit and loss account to divide by the revenues to get the correct number. 
Ashish Kejriwal – Elara Capital: And sir lastly what is the profit figure for Sterlite Energy for FY13?
M.S. Mehta: So, for FY13 the total EBITDA is INR826 crores in Sterlite Energy and the PAT is 205.
Ashish Kejriwal – Elara Capital: INR205 crore?
M.S. Mehta: That's right INR205 crore which is far higher than what was there in ’11, ’12.
Ashish Kejriwal – Elara Capital: Yes but what could be the interest amount because interest should be around 450 crore, 470 crore.
M.S. Mehta: Interest is INR227 crore.
Ashish Kejriwal – Elara Capital: 227 crore.
M.S. Mehta: Yes that is right.
Ashish Kejriwal – Elara Capital: This is really because of, but at what interest rate we are giving to Sterlite sir because 227 crore is not the total?
M.S. Mehta: Since Sterlite Energy 100% subsidiary of Sterlite, so there is no interest being charged on the inter-company landing.
Ashish Kejriwal – Elara Capital: Okay so this will be going forward.
M.S. Mehta: Yes that is right it does not make any sense.
Operator: Next question is from (inaudible) from JPMorgan please go ahead.
Unidentified Analyst: A couple of questions first on just going back to the standalone balance sheet the long-term loans in advances were roughly columned by I think around INR7,000 crores or INR7,500 crores or so. And INR6,000 crore in Greece is the net increase in VAL sort of year-over-year can the other INR6,000 crores from a standalone balance sheet go in terms of loans in advances to which unit?
M.S. Mehta: Look the loan in, you are talking about the borrowing standalone?
Unidentified Analyst: Loans in advances under the long-term assets.
M.S. Mehta: This is basically respecification financing and the amount which was invested in (inaudible) to one of our subsidiary that has gone from short-term to long-term.
Unidentified Analyst: Okay but that would not be the full 7,500 crores is there something else to the power business or other units?
M.S. Mehta: That is the main INR6,500 crore.
Unidentified Analyst: Okay and my second question sir is that you did mention about the CapEx at the sag end of the cycle and the debt reduction so do we have any targets about the debt reduction absolute amount over the next couple of years or when should we start seeing the absolute amount of debt coming down?
M.S. Mehta: Basically as I said that now the CapEx cycle has phased down and now we're at the fag end so the free cash flow whatever is getting generated that free cash flow, still in excess which is there in and is locked up. So otherwise the whole amount is going to be utilized for deleveraging and that is what is the main thrust what we're having throughout the company. And far as the amount is concerned I think I'll not be able to give you any guidance. But I think broadly if we just try to look at the free cash flow from the operating units minus CapEx that will be utilized either for dividend declaration or for deleveraging.
Unidentified analyst: And sir my last question is on the Zinc International business, the production guidance is near 4 lakh tons for FY 14, it was 4.26 in ‘13 and 4.44 in ’12. So there seems to be a 5% reduction over the last two years. How should we look at it, because it was a short mined life asset to start with obviously it has got extended but is this steady 5% decline over the next 2-3 years or is there a sharp fall over the next two three years in production?
M.S. Mehta: I think while we delivered strong exposition result for the companies, work at Zinc International is still going on. So we remain positive that we will be able to extend the mine life, but certification and the final results have to be arrived at. So you expand but to deliver consistent performance laid upon these numbers in these plants subject to finding success in exploration, and that’s our policy as of now, they are not yet confirmed.
Operator: Thank you, the next question is from Ram Modi from Daulat Capital.
Ram Modi - Daulat Capital: Just follow up with the question on the Zinc International, you know we have no update what has happened to our Gansburg project, where are we working, and timelines we can set it now?
M.S. Mehta: I think Gansburg project we're still evaluating and then the detail feasibility status of course. It is taking slightly longer for us to reach the stage so we expect to share more details with you in next quarter.
Ram Modi - Daulat Capital: Just wanted to comment in terms of our, you know at Sterlite energy, I just wanted to check, maybe you know it’s too early, but once we commission our VAL 1.25 million ton aluminum smelter, what kind of linkage we can have it from Coal India, because or will we get it for another 1800 megawatt which is other than the Orissa Grid, any Coal linkage from Coal India?
M.S. Mehta : Well, yes as of now we have the Coal linkage, and we expect it to continue.
Ram Modi - Daulat Capital: Just a question coming in, then this would be more to be classified as in captive power unit, for this 1.25 million in smelter and Coal India has actually not allotted any further linkage to captive power linked plants. 
M.S. Mehta : We are not talking of any fresh linkage, we already have the linkage in our facility.
Ram Modi - Daulat Capital : Okay, and sir, just wanted to, how are we progressing on our transmission line, that 1000 megawatt additional transmission line which was supposed to get commissioned?
M.S. Mehta : Which transition?
Ram Modi - Daulat Capital : In SEL
M.S. Mehta : Okay, SEL, yes. We are progressing well and of course there are some issues of some forest, small forest events, but we hope to commission this line by the end of second quarter.
Ram Modi - Daulat Capital : End of second quarter? So post this, can we, you know, improve our PLF into Sterlite energy; I am just look at in FY ’15 whether we will continue to update that 50% 60% or 70% or can we move on a higher PLF?
M.S. Mehta: Well by then you have mentioned that we would have commissioned our VAL plant. So certainly we can expect to move on higher on PLF, FY ’15 if we are talking.
Ram Modi - Daulat Capital : I just wanted have clarity on our BALCO 300 by 4 unit. What are the final clearances which we are awaiting into this power plant, because I think we had the same kind of update in last quarter itself; so we are not getting any, what is the kind of clearances should we require and what is the expected, I know timelines are difficult, but what are the final clearances which we require to operate?
M.S. Mehta : We are expecting the time and consent to operate from next one month. And as you have said that, typical to if it’s by when it is regulatory authorities, they take their time. But we are hopeful of getting it in this quarter.
Ram Modi - Daulat Capital : Okay, no major hindrance into getting the consent to operate, or are there any regulatory issues in this?
M.S. Mehta : No, there are no major issues. 
Operator: The next question is from Bijal Shah from IIFL, please go ahead. 
Bijal Shah – IIFL: I have two questions first is on the debt level, now I mean since the merger and restructuring is around the corner, if you can give us some idea had this been given instead as of date what would have been gross date of the resulting entity Sesa Sterlite and the net debt of resulting entity as on 31st March 2013?
M.S. Mehta: Bijal, I think, its little premature question I think we had to still work on the pro forma account and yesterday when we have finalized Sterlite balance sheet, so we are in the process of working out pro forma, so if you want any pro forma number I think you will have to wait for some time and we can take it offline. 
Bijal Shah – IIFL: Yes, okay just continuing on the same thing. See if I look at numbers I mean broad cash flow of all the businesses introduced impress and if I eliminate cash flow from KM and Hindustan Zinc which may be locked up from a Sesa Sterlite perspective. I think there is very limited scope for actual reduction in debt unless you increase dividend payout from Hindustan Zinc and KM materially, so if any thought or any color on that would be useful.
M.S. Mehta: I think what we have to start seeing the group performance of power aluminum going forward to look at year when we get performance on profitability. Aluminum is improved a huge upside on the volume growth on power side but we’re not in position to give you exact numbers of these two businesses in terms of their ability to generate how much cash we’ll generate but you can see the trend in that direction. So until you play that drive only we will not able to see what we’re able to visualize at our end, so that something to be come from that area.
Bijal Shah – IIFL: Essentially the debt reduction is largely predicated on sharp improvement in aluminum and power businesses?
M.S. Mehta: And of course that goes on with if we’re looking at combined entity (inaudible) operations, so everything that will be seen is the matter.
Operator: Thank you. The next question is from Prasad Baji from Edelweiss Securities. Please go ahead.
Prasad Baji - Edelweiss Securities: Thanks for taking my question. On Sterlite Energy, what kind of percentage decline on a sequential basis have you seen in e-auction coal price?
M.S. Mehta: Sorry, I couldn’t get the percentage decline in terms of.
Prasad Baji - Edelweiss Securities: The percentage decline in the e-auction coal prices on a sequential basis in Sterlite Energy.
M.S. Mehta: For going forward…
Prasad Baji - Edelweiss Securities: No for the March quarter obviously our cost has come up. A good part of that reason is the decline in e-auction prices. So what is the extent of decline that we have seen from the December quarter?
M.S. Mehta: It has been 2 fold, one is absolute price slight lower side correction and I think the major impact that has come on account higher GCB coal which we have been able to get through e-auction to the Q3. So put together the impact has been the order of 8% to 10%.
Prasad Baji - Edelweiss Securities: Okay. So just the price reduction is more marginal, more related to the GCB or better GCB coal.
M.S. Mehta: Right, it’s the combination of both but I would say a significant price reductions also the quality of coal is related to that.
Prasad Baji - Edelweiss Securities: On the aluminum business question in two parts. What’s on the BALCO side, you have mentioned the kind of premium that have gone up. Do you see just for the Q4 quarter and if we look at the revenues that you have reported in BALCO that the premium seems to have gone even above the $480 number. Obviously, I was trying to understand whether in the BALCO aluminum business, is there some nonaluminum revenues also because if we just look at the revenue and the volume number, it comes to like $800 per tonne. Is that including some power sales also or some other sales?
M.S. Mehta: No. Doesn’t include any other income. 
Prasad Baji - Edelweiss Securities: Okay. So the BALCO aluminum is just pure aluminum revenues, right?
M.S. Mehta: That’s right.
Prasad Baji - Edelweiss Securities: Okay. Then maybe I can take it offline because if we just take the volumes of aluminum and then look at the realization and then the aluminum with simple calculation it comes to $800 per tonne. So, I don’t know why that big number is there but perhaps you can take it offline, I guess. But other thing on the VAL business, we see a ForEx loss of 205 crores for the quarter and I mean considering the rupee has appreciated or stayed flat with dividend how you look at it, just little surprise to see a big ForEx loss in VAL for the quarter again.
M.S. Mehta: Basically these ForEx losses are more like accounting losses. These were on certain forward sales which were designated in the reserves as per AS30 and now since and those were supposed to be squared up within certain period and since the startup of the company is getting delayed. So, those were to be (inaudible) to the profit and loss account. So it's more like an accounting increase.
Prasad Baji - Edelweiss Securities:  It’s an accounting; how should we look at it going forward, I mean is this going to continue?
M.S. Mehta :  No. This is not going to continue, this was one of things that got engaged in this quarter.
Prasad Baji - Edelweiss Securities:  Understand, so now you here onwards whatever ForEx loss it should be tracking the rupee broadly?
M.S. Mehta :  Absolutely right.
Unidentified Analyst :  Just one question on the copper side, net rupee in flattish at around at 10.7, $10.8 pounds again sequentially sir we understand the asset price have dropped around 10% Q-o-Q you have given the Y-o-Y reference but Q-o-Q also there has been further drop in the asset prices so that should have made the cost of production go up in the copper side. In fact the EBITDA has been much higher than what we thought, so why has the cost not moved up, the net cost moved up in spite of the softer asset prices. Is it completely the benefit of the power plant alone or is there some other reason?
M.S. Mehta :  Yes, it’s largely the benefit of the power plant whereas in Q3 there was a loss because of the initial startup of the power plant. In Q4, there is a dream, so that they; it’s a double impact.
Prasad Baji - Edelweiss Securities:  And just a little color on this power plant; in that case what kind of cost of generation are we getting, what kind of tariff we are getting for the sale? And finally in the current situation when the smelter itself is shut, can this power plant still continue to operate or that also needs to be shut?
M.S. Mehta :  At the current stabilized level, the cost about 2.75 paisa to 2.85 paisa per unit it is line in imported coal both is next door to the plant.
Prasad Baji - Edelweiss Securities:  Right.
M.S. Mehta : Even if smelter is shut, the power plant is running at full capacity. 
Prasad Baji - Edelweiss Securities:  And then even the second unit can be commissioned?
M.S. Mehta :  Second unit is required when approved so we are already approved. 
Prasad Baji - Edelweiss Securities:  I mean the smelter issues do not affect the…
M.S. Mehta : Yes, the smelter and power plant are separate issues.
Prasad Baji - Edelweiss Securities:  Separate issues.
M.S. Mehta :  Yes.
Operator: The next question is from Nitish Jain from Axis Capital. Please go ahead.
Nitish Jain - Axis Capital: This Niyamgiri bauxite mining issue, now assuming now the Gram Sabha gives a per megawatt decision in favor of Sterlite, will the final decision still be with MoEF for this stage two forest clearance? is that understanding correct?
M.S. Mehta: Yes the order states that the Gram Sabha gives decision and communicates to MoEF. MoEF consider the Phase 2 forest clearance within two months and this is in favor of OMC-this mining ridge.
Nitish Jain -Axis Bank: No, no sir my question is like even if say Gram Sabha would say yes to the bauxite mining project, can MoEF still say no to the stage two forest clearance?
M.S. Mehta: This is a speculative question. I don't not want to speculate but you have to read the judgment which is mentioned that within two months they will take into account the Gram Sabha recommendations and grant the stage two forest clearance so you have to well I can be read that much as you can read. 
Nitish Jain -Axis Bank: Because sir we have read the judgment and it is not very clear what is the; even if they say Gram Sabha is the final authority or the MoEF is the final authority and if Gram Sabha say yes and the MoEF says no then the very purpose of Supreme Court empowering Gram Sabha is not very clear?
M.S. Mehta: You are answering questions yourself. 
Nitish Jain -Axis Bank: Alright sir I think I had this query only.
M.S. Mehta: So I think Supreme Court might look long at this application, they are very clearly giving the three mandates to Gram Sabha and they are putting a time maybe it's on various decision making processes, so we expect that to happen at the spirit of the Supreme Court outcome.
Nitish Jain -Axis Bank: Sir, I have one more question on the power side just wait. On the Sterlite Energy have we got the open access we understand Orissa grid had some restrictions on you by exporting power out of Orissa?
M.S. Mehta: No, we have open access for our three units and no such restriction has been placed. We are supplying power to Orissa grid from one unit and for three units we have a full open access.
Nitish Jain -Axis Bank: So what would be the merchant realizations of the three units?
M.S. Mehta: Merchant realization is very; there is no concern about the market but right now you have been seeing the little partial cities and net of (inaudible) and so clear about INR 3 rupees with that.
Nitish Jain - Axis Bank: And have we; nine months when bilateral agreement which gives a visibility on upcoming?
M.S. Mehta : We still have nine or 12 months you have to have medium term open access. We have to have some medium term open access plus we do bilateral on a month-to-month basis and a short opening.
Nitish Jain - Axis Bank: So what would be the strategy for FY '14, given it's a pre-election year, and merchants usually looks up, what is your strategy for FY '14?
M.S. Mehta: Well the strategy compound, we have to improve our plant load sector by going for medium term open access if there is some stability in terms of evacuation as well as the rates which can be in the range of one year, two years and also bilateral in short term open access. And as well as have some room for sales through exchange where we can probably capitalize on any side on the day-to-day rates, or sales rates
Nitish Jain -Axis Bank: And what would be the fuel cost per unit.
M.S. Mehta: Fuel cost as I was mentioning that it will depend upon the PLF. As we go for higher PLF then we have to go for higher proportion of fee option coal, which increases the fuel cost, but as of now we can take roughly in the range of INR1.90 to INR2 per unit.
Operator: The next question is from Rakesh Vyas from HDFC Mutual Fund, please go ahead.
Rakesh Vyas - HDFC Mutual Fund: Congratulations on good set of numbers. I have one question related to SEL and the transmission constraint, in the fourth quarter we have seen the generation going up at SEL but correspondingly at BALCO we have seen generation coming down. So I'm just trying to understand because both of these I believe are in W3 region. So is there any constraint on our overall power sales even if you know the capacity has been commissioned in January.
M.S. Mehta: Rightly said that both are in the same regions so similar evacuation constraints apply. One is that one unit of 135 megawatt unit of BALCO has been down for some repairs. So that has impacted the power sales. Secondly we have lower fuel costs at SEL so they can bid little more aggressively in exchange as compared to BALCO where you know incremental fuel cost is somewhat high, so at their cut off or bidding exchange is somewhat higher as compared to SEL,
Rakesh Vyas - HDFC Mutual Fund: Sir what would be the proportion of sale in exchange currently, for us?
M.S. Mehta : For ACN?
Rakesh Vyas - HDFC Mutual Fund: Yes, ACN. 
M.S. Mehta : Well, it depends upon day-to-day – it can be in the range of about 10% to 15% of total open access.
Rakesh Vyas - HDFC Mutual Fund: So that’s actually not much, I mean because what we are also hearing is because of the constraint in the transmission corridor, large part of the sale is actually happening only through exchange. Because bilaterally you have got earlier open access then it is okay, otherwise new short term open access is difficult and priorities for exchange. So I was just wondering, for other players the exchange really is much-much higher. For us you mentioned it is 10% to 15%, is that correct?
M.S. Mehta : You know the corridor constraints as such apply for exchange as well as of course there is some power reserved for exchange and they get the priority on day-to-day basis. But we don’t have that significant, because we are trying to go for bilateral as much as we can, keeping some room for exchange for running upside in the projects.
Rakesh Vyas - HDFC Mutual Fund: Got your point, sir; and will situation be any different when the fourth unit actually starts full operation? 
M.S. Mehta : Yes, the evacuation constraints have been further eased from April, W3 zone, so right now we don’t have any evacuation constraints as such except that has been done in the month of April, so it will reflect on the bilateral approval for the month of May. 
Rakesh Vyas - HDFC Mutual Fund: Got your point sir.
M.S. Mehta : Bilateral approval for the month of April were already given in the month of March and this easing of constraint was not applicable. 
Rakesh Vyas - HDFC Mutual Fund: And sir, one last question, you said the fuel cost will primarily depend on the incremental e-auction, so if you can clarify the e-auction variable cost for us at SEL would be around INR2.30, INR2.40?
M.S. Mehta : Yes, as of now, e-auction volume was of substantial, the coal dynamic there was a lot of factors.
Rakesh Vyas - HDFC Mutual Fund: Got your point, yes.
M.S. Mehta : If you take that current e-auction cost then yes you are right. It reaches around that level.
Operator: The next question comes from Dhawal Doshi from Phillip Capital, please go ahead.
Dhawal Doshi - PhillipCapital: Sir, with regards to Sterlite Energy, I believe you are getting coal on tapering linkage, right, for 1000 megawatt, or is it the normal linkage?
M.S. Mehta : Well, yes. There is a tapering linkage for 1,000 megawatts and for the...
Dhawal Doshi - PhillipCapital: When is its likely to go up as in when is it likely to start tapering off?
M.S. Mehta: I think the moment we use to take the final call of this tapering will get this of course you know right now this metal under consideration of ministry of power and ministry of coal as to what to do this. Tapering linkages where coal blocks have not been operational.
Dhawal Doshi - PhillipCapital: Okay, so is there a chance wherein we could see the coal going off the way it is happening for BALCO?
M.S. Mehta: Well, I think it is, I can’t say at this stage definitely because as I said that all those cases where power plants are operational but coal blocks are not operational is in the consideration of right under the Ministry of Power and Ministry of Coal. There is inter-ministerial industrial group which is considering this issue.
Dhawal Doshi - PhillipCapital: Okay. Secondly with regards to VAL, was better supply of coal during the quarter also one of the factors which has led to the lower cost of production and probably that could reverse going ahead?
M.S. Mehta: No, as I said total coal cost is same applied to VAL also. But yes, certain extra coal with gas supply in the first quarter but simultaneously improvement in the coal quality has resulted in the lower coal cost and also, specific coal consumption also is coming down by doing this.
Dhawal Doshi - PhillipCapital: Okay. But sir, it will be right to assume that you can see some increase in cost in the coming quarters because the Q4 phenomenon won’t be there with regards to the coal supply?
M.S. Mehta: Well, it happens especially in months (inaudible) during monsoon period, the coal supply quantity also gets tribute as well as it impacts the quality also. So that has been the trend in every monsoon quarter specially you can say second part of it. 
Dhawal Doshi - PhillipCapital: Just wanted to understand the cost dynamics, this quarter we’ve operated without our captive alumina. We completely imported alumina, right?
M.S. Mehta: That’s right.
Dhawal Doshi - PhillipCapital: What has been the cost implication on account of that as in is there a positive rub off effect or negative because the cost numbers are quite lower?
M.S. Mehta: Certainly, there is no positive impact but as we have mentioned I think in the past also, the difference between imported alumina cost and our cost not been very large but impact on account of alumina cost has not been positive, it has been some (inaudible) compared to others.
Dhawal Doshi - PhillipCapital: How much if you would be just able to quantify?
M.S. Mehta: Again conjugate cost also depends upon the volumes, so this is mines we are able to do the full volume cost to the plant and when it is on a part operation then cost will depend. Well, that will have to be seen in the different context so I will not at the time disclose. The number of plus minus is not more than $30, $40 a tonne alumina cost. So, this can move either way depending on the as Mr. Roongta mentioned whether the bauxite mix is superior or inferior type which can determine the cost of alumina with your own bauxite. As with the total leverage in the $40 to $50 in aluminum terms.
Dhawal Doshi - PhillipCapital: Sir, how do you see the aluminum cost going ahead into FY '14?
M.S. Mehta: Well, we are trying to contain our aluminum cost especially the power cost and with the restart of (inaudible) refinery because there will some deduction on the alumina cost as well and further improvement in our operation efficiency parameters. So, we are expecting to contain the increase in cost.
Dhawal Doshi - PhillipCapital: So, you’re talking this on a full year basis for FY14 or can we say the fourth quarter cost would not be the representation of the full year cost, right?
M.S. Mehta: Well, that is only so far as, you have already analyzed that as far as coal cost and power cost, yes you can say so, it may not fully representative of the cost of that. There are other areas where there is a cost to reduce especially once the alumina is down and we expect our raw materials also to come down especially CTP and (inaudible) we have already seen some downward trend and our power consumption also we are expecting certain amount to come down by about 300 units (inaudible) metal. So, there could be some upside as from Q4 as far as coal cost and power cost are concerned but there is scope for reduction.
Dhawal Doshi - PhillipCapital: Okay. Sir, the same would be the case with BALCO or you won't see things over there in the power consumption and of basically...?
M.S. Mehta : Power consumption as I had also mentioned that we expect BALCO power consumption hours to come down. First one, important factor for BALCO is (inaudible) from the coal block which will have regulated downward in fact on our cost of; so that is of course a material impact with (inaudible).
Operator: The next question is from Vohra from (inaudible) please go ahead.
Unidentified Analyst: Just a couple of questions on the power side; so how many units of (inaudible) do we plan to commission during the year?
M.S. Mehta :  Well we are planning to commission two units during the financial year.
Unidentified Analyst :  So, we expect what PLF from there so any contribution do we expect from that side of (inaudible)?
M.S. Mehta :  Well PLF no after all the units, first units is going to be synchronized in the second quarter and then the second unit will be in the last quarter. So…
Unidentified Analyst :  So we don’t expect any meaningful contribution from them in FY14?
M.S. Mehta :  Yes I think that is fair to leave some room for stabilization. And start up too.
Unidentified Analyst :  Okay and any contribution from 325, 8,000 tons of BALCO commissioning?
M.S. Mehta :  Well again initial start phase the cost of production rate generally has because of the (inaudible) stabilizing and the power consumption has (inaudible) so…
Unidentified Analyst :  So that also we don’t expect any meaningful from that side also? 
M.S. Mehta :  Well maybe once the force stabilize then we will have the contribution slowly. 
Unidentified Analyst :  Okay and then just last thing; any latest update on state buyouts of Hindustan Zinc?
M.S. Mehta :  I think on that we have kept the markets fully informed that initially we made the offer. We have earned that officially from the government. We believe that it should find place when the government has booked the investment agenda is more based on more than what we understand normally from the people…
Unidentified Analyst : So incrementally anything over last three months from the government?
M.S. Mehta: No. I would say reportedly development that we can share with you at this moment.
Unidentified Analyst: And just one last thing sir if you can just help us with the repayment schedule of the loans in FY '14 and ’15?
M.S. Mehta: I think we will have to give that offline.
Unidentified Analyst: Okay.
Operator: Ladies and gentlemen due to time constrains we will take one last question from Tanuj Rastogi from Marwadi Shares & Finance Limited. Please go ahead.
Tanuj Rastogi - Marwadi Shares & Finance Limited: Sir, I would like to understand sir where have they reached in terms of getting new bauxite leases from Orissa government?
M.S. Mehta: Yes as you may have heard, the Orissa government has been considering (inaudible) in the ministerial committee to look into the raw material plant (inaudible) and that includes iron ore and bauxite. Now there are other options in terms of (inaudible) mine which has a reverse of 200 million tones and government obviously is going to approach the Government of India for mining lease in favor of Orissa Mining Corporation. I believe the Government of Orissa Department of Geology is carrying out mineral exploration in (inaudible) sector area in Raigad and Kolhapur districts to explore the new bauxite regions, in fact there is supposed to be bauxite regions there and detailed exploration there undertaking after that (inaudible). And there are some products mines which has not been renewed because there were no value addition within the states. There are alternate deposits of bauxite as you are aware Orissa is richly endowed in bauxite reserves.
Tanuj Rastogi - Marwadi Shares & Finance Limited: So in your understanding when we can see some positive development in terms of timeline?
M.S. Mehta: Well I can’t specifically give a timeline but say for example Karlapat South mining lease, we believe from the Government of Orissa that they are going to send the application to Government of India during the month of May and thereafter Government of India, consents that mining lease can be given to Orissa Mining Corporation. And let us separate the report of this to ministerial committee they are supposed to have identified some smaller, other areas also where they want detailed exploration to be done. I believe 22 mines they've identified where initial exploration has been done and deep mining for detailed exploration, so that we will immediately clear out after this report is made public.
Tanuj Rastogi - Marwadi Shares & Finance Limited: In terms of the Lanjigarh refinery, until and unless you get the captive bauxite, the company remains committed that Lanjigarh refinery will not be operational or is it a plan to run the refinery from the bought out bauxite in the near future.
M.S. Mehta: We have not taken that position that under most circumstances unless we have captive bauxite, the refinery is not going to be operational.
Operator: Ladies and gentlemen that was the last question. I will now like to hand over the conference back to Mr. Ashwin Bajaj for closing comments.
Ashwin Bajaj: Thanks ladies and gentlemen for joining us today and if you have further questions please feel free to contact us.